Operator: Good afternoon and welcome to the Las Vegas Sands Third Quarter 2016 Earnings Conference Call. I will now turn the call over to Mr. Daniel Briggs.
Daniel J. Briggs - Las Vegas Sands Corp.: Thank you. Joining me on the call today are Sheldon Adelson, our Chairman and Chief Executive Officer; Rob Goldstein, our President and Chief Operating Officer; and Patrick Dumont, our Executive Vice President and Chief Financial Officer. Before I turn the call over to Mr. Adelson, please let me remind you that today's conference call will contain forward-looking statements that we are making under the Safe Harbor Provisions of the Federal Securities Laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures, a definition and a reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. We also want to inform you that we have posted supplementary earnings slides on our Investor Relations website for your use. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the Q&A session, we ask that you limit yourself please to one question and one follow-up question, so we might allow everyone with interest to participate. Please note that this presentation is being recorded. With that, let me please introduce our Chairman, Sheldon Adelson.
Sheldon G. Adelson - Las Vegas Sands Corp.: Thank you, Dan. Good afternoon, everyone, and thank you for joining us today. I'm pleased we continued to execute our strategic objectives during the quarter and delivered a strong set of financial results with company-wide adjusted EBITDA reaching $1.140 billion, an increase of 9% over the prior year. The quarter was distinguished by an outstanding result in Macao where we achieved solid growth in mass gaming revenues, increased our EBITDA and profit margin, and opened The Parisian Macao with a smashing success. In Singapore, Marina Bay Sands continues to deliver steady cash flow, with adjusted property EBITDA being in line with last year. With the resilience and consistency in cash generation, we've flexed both the strength of our business model and the geographic diversity of our cash flow, which, in turn, underpins our balance sheet strength. Accordingly, we can and will continue to return excess cash to shareholders while maintaining our ability to invest in new development opportunities. As you may recall, I had first indicated back in January that we were seeing signs of stabilization in mass gaming revenues in Macao. And in June, our mass gaming revenues saw positive year-on-year growth for the first time in two years. I'm pleased to say that this encouraging trend continued in the third quarter. Our mass table revenues grew by 6% year-over-year, the first quarter of positive growth since quarter three of 2014. This growth rate accelerated to 15% in the month of September as we benefited from the strong opening of The Parisian Macao. Nine years ago, we opened The Venetian Macao, which was the first step in realizing my vision for the Cotai Strip, a critical mass of MICE space Integrated Resorts that will contribute to the development of Macao as the world's center for leisure and business tourism. The opening of Parisian Macao not only significantly enhances our critical mass in the Cotai Strip, but adds another themed, iconic sea destination in Macao that will be complementary to The Venetian Macao. While I never doubted The Parisian's broad-based success, it was nonetheless very gratifying to see the property open with such strong patronage across all its different facilities and amenities. For the first 18 days of operations, adjusted property EBITDA averaged $1.1 million per day, and daily visitations to The Parisian exceeded 40,000. We experienced no noticeable cannibalization at our existing properties after the opening of The Parisian. And if anything, we saw an increase in activity in the hotels on our Cotai Strip development, and including the casinos. Our marketing efforts leading up to the property opening clearly paid dividends. A Parisian Macao hashtag on major Chinese social media channels recently exceeded – listen to this, 1.2 billion views and impressions. To the best of our knowledge, this is unprecedented. This awareness has translated into strong property visitation. Based on our customer surveys at the various points of entry, in Macao, since The Parisian opening, the most visited casino resort in Macao remains The Venetian, but the second place was Parisian. My strategic vision was to create a critical mass of interconnected resorts in Cotai. With the completion of The Parisian, we have almost 13,000 hotel rooms and four interconnected resorts. Over 840 stores across four shopping malls, 2 million square feet of meeting and exhibition space, and four performance and event venues, including our Venetian Cotai Arena, which can be utilized either for our MICE business or for major entertainment events. This critical mass of product and amenities allows us to cater to virtually every type of business. Business and leisure visitors to Macao will be able to enjoy all of these and more under one roof, at one destination, without ever leaving the buildings. You'll never leave air conditioned space. Because of our industry-leading investments in MICE space Integrated Resorts in both Macao and Singapore which places us in the pole position when it comes to emerging market opportunities, we are unique in the absolute scale of our EBITDA and cash flow as well as in our dominant share of the industry's EBITDA and cash flow. Scale, diversity and critical mass allow us to outperform our competitors. Our ability to generate consistent and industry-leading cash flow in turn underpins our balance sheet strength. That balance sheet strength at 2 times net debt to EBITDA at the end of the third quarter allows us to stay fully committed to our development plans, while continuing to return excess capital to shareholders. Again, this is unique in our industry. Now, let me give you some additional highlights of our results in Macao for the quarter. For quarter three, adjusted EBITDA from Macao operations was $629 million, an increase of 15% against the prior year and an increase of 29% against the prior quarter. Growth was driven by strong mass gaming revenues, continued execution on cost efficiency programs, and higher hold in the premium direct segment. Hold-normalized EBITDA was $565 million, up 5% against the prior year and up 14% against the prior quarter. Hold-normalized EBITDA margin in our Macao operations improved to 34.7%, an increase of 170 basis points against the prior year, primarily reflecting cost efficiencies and improved business mix. Rob and Patrick can elaborate on this later. We have realized more than $300 million of annual cost savings since quarter one of 2015, and we also achieved our annualized cost avoidance of $140 million by leveraging consistent resources for the opening of The Parisian. Sustainability, including energy efficiency, is a strategic imperative for the company, and we are proud that The Parisian Macao is our most energy efficient property to date. The Parisian Macao is targeting LEED silver certification for new construction and would be the first Integrated Resort in Macao to achieve this distinction to the entirety of its operation. LEED certification addresses sustainability measures, including energy and water efficiency, waste management, and indoor air quality. We are proud that our focus on sustainability will help us minimize the impact we have on the environment while also providing a financial benefit in the future. Our mass table gaming revenue, in total, grew by 6% year-over-year, while our premium mass segment grew by 15%, a solid result given the significant increase in gaming and hotel capacity in the market. We experienced broad-based growth across premium mass and mass segments, underpinned by our ability to drive increased patronage with hotel accommodation, shopping malls, and entertainment events. During the quarter, which included the peak summer season, hotel occupancy across our portfolio increased by almost 4 percentage points against the prior year to 90%, despite significant growth in both our own inventory and that of the markets. This, again, highlights our advantage during peak periods, with the higher hotel occupancy feeding positively into our gaming and retail revenues. In a market where peak periods, weekends and holidays, matter than ever before, and where mass market customers will generate the lion's share of future revenue and profit growth, our capacity advantage was further strengthened by the opening of The Parisian. The Parisian Macao generated $19 million in adjusted EBITDA in its first 18 days of operation. Mass table and slot revenue per day at The Parisian was $2.6 million while hotel occupancy was 88%. Not only has The Parisian been successful as a standalone property, I believe The Parisian also benefits our entire Cotai portfolio. Our overall Macao property visitations increased by 19% in September compared to the same month in the prior year. The Plaza and Four Seasons property in particular has experienced an uplift in visitation and business volumes since The Parisian opened. It is also worth noting that despite the recent increase in the supply of luxury retail in Macao, our retail sales at Four Seasons Mall grew by 7% in September. The completion of the bridge between Four Seasons and The Parisian in late November will further increase the synergies in traffic and patronage between our properties. Last night, I got a call from Wilfred Wong, our President of Macao, confirming that we will open by the end of November. We'll open that bridge, pedestrian bridge connecting The Parisian with Lot 2. We remained fully committed to playing the pioneering role in Macao's transformation into Asia's leading business and leisure tourism destination. Our track record in being transformative pioneers in nice retail and entertainment speaks for itself. In summary, we regard it as a privilege to contribute to Macao's success in realizing its objective of diversifying its economy, supporting the growth of local businesses, providing meaningful career development opportunities for its citizens, including through our Sands Academy, and reaching its full potential as Asia's leading business and leisure tourism destination. Regarding Sands Academy, we were the first ones in Macao to include a career development center of this scale, of any scale, in our operations from the beginning. Our first career development center was opened nine years ago on August 28, 2007, when we first opened The Venetian Macao. We have been committed to the career growth of our team members since the beginning. We have steadfast confidence in both our and Macao's future success. Now moving on to Marina Bay Sands in Singapore. We delivered a solid quarter at Marina Bay Sands with EBITDA of $391 million. Hold-normalized EBITDA was $368 million. Our mass win-per-day was in line with prior year and grew 6% against the prior quarter in constant currency. Electronic gaming revenue reached an all-time quarterly record when measured in Singapore dollars. The hotel continued its strong performance with occupancy of 98% and an ADR of $475, which was an all-time record for Marina Bay Sands and a 10% increase compared to the prior-year quarter. Our retail mall continued to outperform the Singapore market, with tenant sales per square foot for the year ending September 30 of approximately $1,400. Let's move on to my favorite subject, yay (16:07) dividends, the return of capital to shareholders. The Las Vegas Sands board of directors has approved a $0.04 increase in our recurring dividend program for the 2017 calendar year, bringing our annual dividend to $2.92 or $0.73 per quarter. We remain committed to maintaining our recurring dividend programs at both Las Vegas Sands and Sands China, and we remain committed to increasing those recurring dividends in the future as our cash flows grow. At the same time, we will remain opportunistic in returning excess capital via our share repurchase program. The Las Vegas Sands board has authorized the amount remaining under the price stock repurchase program for another two years. While we chose not to repurchase any stock this quarter, we look forward to continuing to utilize the stock buyback program to return excess capital to shareholders and to enhance long-term shareholder returns in the future. Our industry-leading cash flows, geographic diversity, and balance sheet strength enable us to continue these recurring dividends and stock repurchase programs, while retaining the financial strength to invest for future growth and pursue new development opportunities. This was another quarter in which we accomplished many important strategic objectives. My original vision for the Cotai Strip in Macao was further realized with the addition of The Parisian and the new property enjoyed a very strong opening. The structural advantage created by our unmatched critical mass and diversity of offering was very clearly displayed in our strong financial results during the quarter both in Macao and globally. All of this enables us to look ahead to the future with confidence. We have a strong organic growth network. We're in a great position to pursue new development opportunities and we have both the intent and the financial strength to continue to return excess capital to shareholders. Before we get to questions, I would like to welcome Lawrence Jacobs, known as Lonnie (18:46), our new General Counsel to our company. Lonnie (18:51) brings a wealth of experience, and we look forward to his contributions in the years ahead. Thank you for joining us on the call today and now we'll take some questions.
Operator: Your first question comes from the line of Shaun Kelley with Bank of America.
Sheldon G. Adelson - Las Vegas Sands Corp.: Hey, Shaun.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Congratulations on the strong quarter. I was just wondering if you could maybe comment on there's increasing press around the possibilities of potential legislation in Japan. So obviously, it had been an area you've been focused on for years. So, could you give us maybe the latest update and what you're hearing on the ground there?
Sheldon G. Adelson - Las Vegas Sands Corp.: What we're hearing from various people is anywhere from 99% to 100% certainty the bill is going to come up this Diet session, but we got to look at the bill, the original bill. They may have changed it since, but the original bill called for a one-year period to determine the who, what, when, where, why, and how of Integrated Resort with casino. So, we got to see what happens over the next year. Are we there? We are there. We have people there. We have a head of Asian Global Development, George Tanasijevich. They're – quite frequently, I go not frequently but not infrequently. And I'm going again, I think, in a month or so.
Patrick Dumont - Las Vegas Sands Corp.: Yes.
Sheldon G. Adelson - Las Vegas Sands Corp.: I'm going in December. We'll see what the bill says when it passes. We are in touch with Osaka quite frequently. And I think that Osaka, from the scuttlebutt we hear, thinks that we are the best company to do that. Of course, we got to consider what position that will put us in vis-à-vis Tokyo. So, we don't know whether or not they'll allow one foreign company to have two locations, or they might do more than two locations. In any event, it's very optimistic, and I've always stated, based upon my many visits and conversations with people in Korea that if Japan legalizes casino gaming for its population, that Korea will rapidly do the same thing. We don't know that for sure, but that's speculation.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Great. And maybe just a quick follow-up would be, turning to The Parisian which is obviously extremely strong in the first 18 days, one of the big questions we've gotten from investors since our trip over there is how much of the growth is just euphoria around the opening. So any color you could provide to us on how patterns or trends are continuing into October here, early in November would be great.
Patrick Dumont - Las Vegas Sands Corp.: Yeah. Unfortunately, we're not going to comment on current quarter, but we'll be happy to update you in January how we did.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Thank you very much.
Operator: Your next question comes from the line of Joe Greff with JPMorgan.
Joseph R. Greff - JPMorgan Securities LLC: Hello, everybody. Two questions, one on Macao then one on Singapore. On Macao, can you talk about what the competitive response has been since The Parisian opened both from newer properties and older existing ones? And then on Singapore, mass win per day of $4.8 million in the 3Q showed some nice sequential growth. Can you talk about what's driving that and is it just seasonality or is there something more than just seasonality? Thank you.
Robert Goldstein - Las Vegas Sands Corp.: Hey, Joe. It's Rob. I'll take Singapore first. As you know, we had a weak quarter last quarter in that most critical segment, the non-rolling slot ETG segment. We're disappointed. We were honest about that three months ago. We're very happy to see a return to what's been the status quo for a couple of years at $4.8-plus million a day at a 60-plus percent margin. We said more activity on the floor of both foreign – mostly foreign activity, we had more overnight stays from Indonesia, Malaysia driving that, really encouraging because as we said to you, time and time again, maybe ad nauseam that that is the segment drives MBS. So, it was a great return for the quarter, solid performance, more foreign visitation, more use of the MBS room product and I think the aberration of Q2 is behind us. So, we feel very good about that, a bit of a sigh of relief after a weak Q2. As for Macao, as Sheldon referenced in his opening remarks, we're just really encouraged by the must-see destination appeal of that property and I would say to you that it's more encouraging than, I think Sheldon's comments said it very well in terms of – it's a destination resort that's got all kinds of traffic and all kinds of people pouring in everyday. So perhaps the most encouraging thing to us though is the positive impact we are seeing at Four Seasons, Venetian. Sheldon referenced the retail uptick into Four Seasons, but we're seeing also uptick in the retail mall, the room demand. The Venetian had a very strong quarter. We feel encouraged that our strategy of critical mass and running this 12,000 or 13,000 co-sites almost as one resort. We almost see it as one integrated resort with 13,000 sleeping rooms, plenty of casino capacity, 13,000 restaurant seats, 800 retail stores, and the ability through pricing power, diverse...
Sheldon G. Adelson - Las Vegas Sands Corp.: 850.
Robert Goldstein - Las Vegas Sands Corp.: 850.
Sheldon G. Adelson - Las Vegas Sands Corp.: Don't cut us short.
Robert Goldstein - Las Vegas Sands Corp.: Okay 850. I tried to cheat us by 50 stores, but I think the truth is we're seeing renewed power there and energy into our buildings, and it gives us unique pricing power, it gives us the ability to offer the customers diversity. If you want the Four Seasons versus the Holiday Inn, all kinds of retail, I think you've been to retail in The Parisian. It's extraordinary. It is not the same stuff you see in the rest of Macao. And what makes this so wonderful is, it is diverse, it is different, more fashion-forward, and the theming is great. And curbside appeal of The Parisian theming is great. But as well we're doing at Parisian, we're even more encouraged by the synergistic feel we are getting for the rest of the buildings. As for the competition, I really can't say they're much different. I think a lot of people are happy to see The Parisian open because it creates more traffic in that critical Cotai corridor and it grabs more trial into Cotai. So, I think everyone is benefiting honestly from The Parisian traffic. It's clearly been a very, very powerful opening, and we benefit mostly, as you know, Sheldon's critical mass strategy is most in evidence when there's holidays, weekends, high-volume periods, that's when we really drive some terrific numbers. And I think we're seeing that again and again with The Parisian. Everybody is participating. I think all the new properties got a little taste of the business coming to Cotai, coming to see The Parisian, but I think we're benefiting more than anybody. I think we're benefiting because we have a 13,000 room IRR there. So very encouraged by both its performance, its impact, and we hope our competitors share our enthusiasm.
Sheldon G. Adelson - Las Vegas Sands Corp.: Joseph, I just like to add to that, if I may. This is Joe, right?
Robert Goldstein - Las Vegas Sands Corp.: Yeah, it's Joe.
Joseph R. Greff - JPMorgan Securities LLC: Yes.
Sheldon G. Adelson - Las Vegas Sands Corp.: Everybody would reasonably think that if we opened another property on the Cotai Strip that we would have some cannibalization of the other property. The amazing thing is that not only do we not have cannibalization, we have improvement in visitation and improvement in business in our other properties. Look, this is the only property of its type in the world. It is a behemoth, single hotel with 850 retail stores. We put Macao on the retail map, unquestionably. We have 2 million square feet of MICE space. We have actually six casinos because Lots 5 and 6 are two different casinos, although we count the whole thing as Sands Cotai Central 1. As soon as we open the connection between The Parisian and the Four Seasons, we can safely and accurately say that you don't have to leave the building or an air-conditioned space to go to any one of the 13,000 hotel rooms, none. You don't have to leave air-conditioned space. What other property in the world has that? There's no city in the world that has it. This is truly the Cotai Strip.
Robert Goldstein - Las Vegas Sands Corp.: Actually, Joe, what Sheldon just spoke about is in sync with that market today. What's really happening is the mass market driven by lots of body count, lots of overnight stays, lots of demand for retail and restaurants and sleeping rooms. I think we have the right product that's in sync with the market in Macao today, and it's reflective in these numbers, and as that market continues to ramp forward, ramp up, I think we'll be a very, very happy participant.
Joseph R. Greff - JPMorgan Securities LLC: Appreciate the comments. Thank you.
Robert Goldstein - Las Vegas Sands Corp.: Thank you.
Operator: Your next question comes from the line of Harry Curtis with Nomura.
Harry C. Curtis - Nomura Securities International, Inc.: Hi. Just...
Sheldon G. Adelson - Las Vegas Sands Corp.: Hi, Harry.
Harry C. Curtis - Nomura Securities International, Inc.: ...wanted – hey, Sheldon. Hi. It's probably a question for you because I wanted to focus on the midweek group meeting and association business. The midweek tends in Macao to be quite a bit softer than the weekend, other than holidays. And so, I just want to get your point of view on the opportunity to change the mix of group meeting and associations midweek, and what might the revenue lift look like once you begin targeting that market more seriously?
Sheldon G. Adelson - Las Vegas Sands Corp.: Well, we've been targeting the market seriously, but there was a potpourri of different properties. Now that we'll have 13,000 rooms that you won't have to leave the building to access, it's going to make quite a bit of difference. That will be a real plus to attract various groups. We just had a 20,000-person group when we were there. It took up all our hotels in Macao. So we're putting a pedestrian walkway between Lot 6, which is the southernmost end of Sands Cotai Central and The Parisian. That will be a very big and very productive pedestrian overpass. Once you have the Cotai Strip and that many rooms and that many ballrooms, exhibition space, ballrooms, and breakout meeting rooms, there's no place like it in the world. So, this ought to attract an awful lot of other people. People could come to a city, go to a – excuse me, a MICE event and never have to leave the building. They won't have to rent cars. They will just take a bus or a taxi to one of the hotels, and then they can go anywhere. Go ahead.
Robert Goldstein - Las Vegas Sands Corp.: Can I jump in, Harry, just behind Sheldon? It's Rob. I just want give you a little historical context. Twenty-some years ago when we started here in Las Vegas, as you well know, there was no one who wanted to put hotel rooms to convention customers because we were seen as, how can I say it politely, we weren't seen in favor of midweek rooms. In fact, people used to fight against COMDEX and fight against conventions and fight against groups. Obviously, that's all changed today. Any earnings call from any major Las Vegas company, that group segment that Sheldon pioneered has become the dominant reason why people can build hotel rooms here for midweek occupancy. It took many, many years, and a lot of people had to be turned around the non-gaming potential. I think the same thing is happening, as you watch it evolve right now, the same philosophy is going to happen in Macao. For the first time, you've got an abundance of rooms. You don't have a plethora of VIP guests to fill those rooms. And so, I think our competitors as well as our 13,000 rooms are available for the first time. We have the group space that Sheldon built, and that group space hasn't been fully utilized. But now, with demand midweek being what it is and with lots of sleeping rooms in Macao, I think you'll see the evolution of that non-gaming business, the hotel room customers Sunday through Thursday, becoming very important in the years to come. The same way when we built the retail that Sheldon referenced, people chuckled and said, no one goes to shop in Macao. Obviously, they do. That's going to happen, and while the evolution of that meeting space that Sheldon authored in Las Vegas and now he did it in Macao, you know it's going to become important, and it's just a question of time. The junket demise and the VIP midweek difficulties will make that very appealing to everybody on the Cotai Strip to fill it with very good group business that's both high rate paying and because they're getting more Asian, there's more of an opportunity for gambling opportunities at night. So, I think that's a train that's starting to leave the station. It's been a slow coming, but there has been enough room product or enough other companies that wanted to participate. Just like it happened in Vegas, it's going to happen in Macao. It's ahead of us. It's not today, still down the road, but it's going to happen.
Harry C. Curtis - Nomura Securities International, Inc.: Thanks, Rob. And I just had one follow-up question on the dividend. I wanted to shift gears here, because the level of EBITDA in Macao to maintain the dividend has been targeted at about $2.5 billion annually, and now it looks like given the success of Parisian, that that's quite doable. The question I have is what's the simple math behind every – if you exceed that $2.5 billion, say, by 5% or 10%, would you plan to take the dividend up by a like amount?
Sheldon G. Adelson - Las Vegas Sands Corp.: Go ahead.
Patrick Dumont - Las Vegas Sands Corp.: Hey, Harry. It's Patrick. How are you?
Harry C. Curtis - Nomura Securities International, Inc.: I'm good. Thank you.
Patrick Dumont - Las Vegas Sands Corp.: I think it's an interesting question. I think a lot of it would depend on the expectations of future cash flow growth from the year that you just described. So, as we said before, there's a very careful evaluation process that goes into the dividend planning. And so, it would have to be taken in the context the future growth of the company, the future growth of cash flows, and our view of sustainability of growth of the dividend. So, those are the thoughts that go into the dividend decision both at SCL and at LVS. The dividend is a cornerstone of our return of capital strategy, and it's very important for us to keep it going in a sustainable and a growing way in the future. So while we can't comment specifically on how we view the SCL dividend and increase in EBITDA, we really hope that it happens and we're looking forward to the continued growth of The Parisian and the Cotai Strip in the future. So we'll come back to you with more information as our EBITDA continues to grow.
Harry C. Curtis - Nomura Securities International, Inc.: Thanks, everyone.
Sheldon G. Adelson - Las Vegas Sands Corp.: Thank you.
Operator: Your next question comes from the line of Anil Daswani with Citigroup.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Okay. Good morning, guys, and thanks for taking my call. A couple of questions from me. First of all, you guys did an amazing job with hotel occupancy. Can you just highlight if there's been any change in the comp ratios that you provide for those properties? Secondly, could you maybe comment a little bit on how the different segments are playing out, so premium mass, mass, etcetera. Is there any focus of any particular property on any specific segment or are you just happy to grow them separately at each different property?
Robert Goldstein - Las Vegas Sands Corp.: No. It's Rob. I think the second question, we'll take first. We're obviously happy to grow with every property, any property. The competition in Macao and Cotai is hard, strong. Our growth, though, I think, comes from our diversity in our pricing, and frankly, what makes us so unique, as I referenced earlier, was the ability to sleep people in the Four Seasons or the St. Regis as well as the Holiday Inn product. It's a very diverse mix of rooms. And we're not seeing a lot of change. We're doing better in the premium mass. Perhaps, we'd like to see more base mass pick up, but we attribute that to there's so much new product, new sleeping rooms, another 600 table games in the last year. So there's going to be some trial even from our customers that goes to see other properties, because the properties out there are very, very good and they're worth seeing. But we're not seeing a whole lot of difference in terms of the – the properties remain constant. Our strongest performer from a premium mass basis is our Sands Cotai Central. That's our weakest performer from a pure mass basis. The Venetian is the juggernaut. It does it all. It's amazing property. It has everything you want it to have. It's got incredible sleeping rooms, a large casino, a fabulous retail product, it's tied to the Four Seasons physically and now it's tied to The Parisian. So, again, diversity of pricing, diversity of product, be it lodging, be it retail, be it gaming, is where we excel and we really excel weekends and holidays. As our comp ratios, they really haven't changed much at all. We must be clear. Sheldon referenced the 1.1 billion impressions we got on our social media approach. I think that bodes well. We are in the hotel selling business for a long time. A lot of people are new to Cotai or in Macao because it's been a VIP-dominant market. But our competitors are smart. They're going to get there very quickly and figure out how some hotel rooms. We've just been doing it for a lot longer. We have more armor. We have more bullets in the gun because if you look at our convention ability, we're the only guys in town with that much group space to fill midweek. We're the only people in town with a large-scale arena. We've been putting these massive arena shows. So, we have an unfair competitive advantage when it comes to selling rooms. We've been doing it longer. We have more product doing better. We're not a boutique company. We're not a premium mass company only. We do it all in the mass space. So we've not seen a change in our ratios as far as comp cash. We have seen more competitive pressure, which we welcome. It's good for Cotai. We welcome more sleeping rooms on the Cotai Strip because we think in the end we get the lion's share of that business. And as that market continues to ramp, we will be its biggest participant in the growth.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Thank you, and congrats on a great set of results.
Robert Goldstein - Las Vegas Sands Corp.: Thank you very much.
Sheldon G. Adelson - Las Vegas Sands Corp.: I just want to add on. We've always been the EBITDA leader in Macao. We have never once been even second. We've always been first. Galaxy has done a very good job of getting into the market, but we're still twice as big as they are in EBITDA. Same thing in Singapore. They I think are a duopoly, just came out with earnings yesterday – did I hear it right – that we're double what they are?
Robert Goldstein - Las Vegas Sands Corp.: We're about 74%...
Sheldon G. Adelson - Las Vegas Sands Corp.: We're 74% of the market. There's got to be something we're doing right and our competitors are not doing. Another we've got this behemoth one-stop shop for everything, unprecedented in the world. I think we're going to continue to have a high hotel occupancy and continued increases in our gaming market.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Thank you.
Daniel J. Briggs - Las Vegas Sands Corp.: Next..
Operator: Your next question comes from the line of Jon Oh with CLSA.
Jon Oh - CLSA Americas LLC: I'd like to refer to Sheldon's remarks earlier when he said that trends in September are pointing to mass growing at roughly 6% and premium mass at 15%. As we look at visitation trends in the month of September, I believe the Macao tourist official number was up 0.5%, and to see such a strong mass performance and premium mass performance despite visitation numbers not being anywhere close to that would suggest that spend per customer is a very strong indicator. Would you be confident to say now that spend per customer as an indicator across all your properties in Macao is a positive indicator that it is now a growth segment again?
Sheldon G. Adelson - Las Vegas Sands Corp.: It is a growth segment.
Robert Goldstein - Las Vegas Sands Corp.: Yeah. I think Jon, what Sheldon...
Sheldon G. Adelson - Las Vegas Sands Corp.: But the market itself is growing. (40:29) in the market.
Robert Goldstein - Las Vegas Sands Corp.: Right. I'm not sure we understand the question totally, but what Sheldon referenced was a 6% year-over-year growth in table game in mass and 15% in the premium segment. We think the market numbers – if you see October's numbers as reported by the government and you see what's happening to market. There's clearly a trend here. We're getting better customers in the market. We're getting more spend in the market. I can't see the correlation to more spend per customer. I can be clear about that. But I think what we are seeing...
Sheldon G. Adelson - Las Vegas Sands Corp.: We haven't done any surveys.
Robert Goldstein - Las Vegas Sands Corp.: Yeah. I think what we're seeing is just lots of visitation and we're seeing lots of growth and we're very encouraged by that. I wouldn't be so bold to say we can correlate those two. But clearly visitation is, it is what it is and revenues are growing and they're growing – I think, somebody made a comment, they grew well in October. If it had not been for a couple weather instances and there was a lot of things happening, it may have been double digit. We're looking for that double-digit growth for the whole market. And again, we are a big believer in the rising tide theory. Obviously if Macao grows at 12% to 15%, we'd all make money. We'd all grow together. And that's what we hope happens in October, November, and beyond. We're looking for solid growth, mass, premium mass and all participants. Let's all grow in the same boat.
Jon Oh - CLSA Americas LLC: Okay. Thank you. And if I can follow up with – and this is maybe I'm just seeking for a broader comment on the ramp-up speed for The Parisian. You guys have attained roughly about $1 million of EBITDA per day within about roughly 18, 19 days of opening in a month, and that's impressive. So what I think about and I'm sure everybody in this call today will be going back to our models and we're going to be thinking about what's the real earnings power of Parisian given that this has kind of surprised us a little bit. I'm just trying to think about how do we really size up the earnings potential of Parisian? I mean given that it's roughly the same number of rooms as The Venetian, but The Venetian is roughly earning about three times more in EBITDA per day right now based on the current run rate. And at one point it was running at over $5 million a day. Would you say that The Parisian has the tools to potentially do what The Venetian could do? Any comments around that?
Sheldon G. Adelson - Las Vegas Sands Corp.: I think can it do what The Venetian – look, The Venetian is so powerful. The visitation went up and the gaming business increased. You're looking at what we're calling around here a behemoth hotel, a behemoth integrated resort.
Robert Goldstein - Las Vegas Sands Corp.: A big one too.
Sheldon G. Adelson - Las Vegas Sands Corp.: Yeah. And it's a big one. We're sailing in unchartered waters. I hope that The Parisian can equal what The Venetian has been doing. But right now, it's not indicated. It's doing very well. We're averaging 40,000 people a day. Our restaurants are so full, it's tough to get a seat. So we're taking out some straight retailers and adding some more restaurants. It was really designed – the government wanted a three-star hotel. A lot of the rooms are designed as four-star. But The Venetian is very unique, every room is a suite. And so there is no star rating that you could say it's a six-star hotel or a five-star deluxe. It's tough to compare any of the hotel to The Venetian. The quality and the critical mass of The Venetian, the size of the casino, the loyalty that it has and following from people who come to the mass market, I don't know. I certainly would hope so, but if not, if it doesn't equal The Venetian, it should get a lot closer than the other properties there.
Robert Goldstein - Las Vegas Sands Corp.: Jon, I think Sheldon's comments are excellent. I think you have to be careful. Look, The Venetian has been operating for almost a decade. It's got an immense loyalty. It's so sticky, it's unbelievable. The quality of people in there, the size of retail, size of food and beverage, the room product. It's a very unique product and the answer is no. The Parisian can't get to The Venetian numbers. It can do very well. It can ramp and grow. But you're comparing apples and oranges because I think it was built in a different time. It was a lone wolf out there back in 2007 when we opened that thing. It's got unique everything, from rooms, to food and beverage. We have too much. We have lot of great food and beverage. We don't have that same scale in The Parisian. We don't have the room product we have in The Venetian. It's unfair. But I do think The Parisian is going to keep ramping, keep growing, getting stronger by the day. I also think the one thing it has going for is it's going to cross traffic very well with the Four Seasons, and that should give The Parisian more lift, a lift at Four Seasons as well. Think about what we have there with all those unique room pricing across the SCC. We have the product in the Four Seasons. We have The Venetian. We have all that great retail with Four Seasons shops which is getting stronger by the day. So, it's going to help Parisian. But I think it's unrealistic to think it's going to approach Venetian numbers. Venetian is $1.2 billion. You referenced $1.6 billion, $1.7 billion at the peak. It's hard for me to see it getting there. Great property, great start, but those are very big numbers. That is the juggernaut in Macao.
Jon Oh - CLSA Americas LLC: Okay. Thanks for the commentary. I really appreciate that.
Robert Goldstein - Las Vegas Sands Corp.: Sure.
Operator: And your next question comes from the line of Thomas Allen with Morgan Stanley.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hi. Just following up on the last question, Parisian had 28% margins in the quarter. I don't think you reached that level with Sands Cotai Central until a year after the property opened. So, can you just help us think about the trajectory of the margins from here? Thank you.
Robert Goldstein - Las Vegas Sands Corp.: Sure. Well, let's be clear, the reason for that, Thomas, as I think you know, is that they're very different products. SCC is a very powerful room product that is more dependent. It opened at a different time, as well, but it's dependent on premium mass customers. That's the calling card for SCC. It does very well, but it's a premium mass house. It doesn't have the themed walk-in free traffic. The Parisian is getting ridiculous walk-in traffic that it's free business. They walk-in, they gamble. Some sleep there; some don't. But the margins are great because of that. What it doesn't have yet is that premium mass customer that we get at the SCC. So the margins are going to be better I think for quite a while at The Parisian because they're paying retail for the room, or we're comping less people. SCC is much more comp driven and different time, as well. The interesting part is going to be how does it intersect with when the Four Seasons bridge is completed, how much crossover we get on weekends, holidays from that high-end Four Seasons customer, and we get more premium mass to gravitate. The race in Macao for the premium mass is a big one. There's a lot of people out there with great products that are looking for that segment. So, can we grow that segment quickly at The Parisian? That remains to be seen. The SCC is our biggest premium mass customer, but that's our biggest comp house and frankly our biggest – it's soft to the margins as a result of that. The Parisian has just overwhelmed us with demand. So, we've got to figure out how to take advantage of that demand and offer the customers the kind of things they want to satisfy that segment. But I think it's clear that the SCC got off in a different time and was much more of a different product. It didn't have any free traffic. It doesn't have much to this day. So, different products, different margins.
Sheldon G. Adelson - Las Vegas Sands Corp.: And less VIP, less VIP...
Robert Goldstein - Las Vegas Sands Corp.: Much less VIP. Yeah.
Patrick Dumont - Las Vegas Sands Corp.: One thing to add is that if you look at the margin of The Parisian, and you look at the margin of the overall property set on a normalized basis, The Parisian is geared for growth. So, that as we continue to grow revenues there and as we increase play volumes in the very high margin mass and premium mass segments, you'll see that that margin will actually creep up closer to the margin of the consolidated property set as a whole. So, that the cost base is in and that we should get pretty good operating leverage as we continue to get increased play.
Robert Goldstein - Las Vegas Sands Corp.: I don't think any of The Parisian for what, 18 days, 17 days, can make a real bold statement about that property. It's just so young. It's just not as – I think after this full quarter, we'll have a better look at what that property can do.
Thomas G. Allen - Morgan Stanley & Co. LLC: Helpful. Thank you. And this is my follow-up. In your prepared remarks, you talked about share repurchases. You've been talking about them for some – about not doing them, but the potential to do them in the future. Parisian has opened. How are you thinking about them at this point?
Patrick Dumont - Las Vegas Sands Corp.: So, I think we've always used the dividend as the cornerstone of our return to capital policy. It's very important to us. It's something that we view as fundamental. We always viewed share repurchases as a way to return excess capital to shareholders in an efficient manner in an opportunistic way. So, as our cash flows grow, we'll feel more confident about returning capital in terms of increasing dividends, but also in terms of using the share repurchase authorization and actually buying back some stock. So, as our cash flows grow, you should look to us to be more aggressive in the way we return capital to shareholders.
Thomas G. Allen - Morgan Stanley & Co. LLC: Helpful. Thank you.
Operator: Your next question comes from the line of Felicia Hendrix with Barclays.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Thanks for taking my question. Just sticking on the topic of Parisian. I was just wondering if you could help us understand a little bit more about the complexion of the Parisian customer just in terms of are they mostly base mass? Are you seeing some mid to higher end mass, where they're coming from, kind of income in visitation relative to your other properties? Any kind of different or similar patterns than the typical Sands China customer?
Robert Goldstein - Las Vegas Sands Corp.: Yeah. We're definitely seeing more of a mass-mass, base mass customer to The Parisian as the dominant customer right now. What we're trying to sort through is we want to be more aggressive on the premium mass side or direct that over to Four Seasons, Venetian, SCC and can attract new customers obviously, which the real goal will be to attract fresh customers in the building. But the dominant segment right now at The Parisian certainly is a mass gaming customer, not a – we had good junket play there for the few we have, actually very solid junket play, but our premium mass is not as exciting as other properties. It's mass-driven at this point.
Felicia Hendrix - Barclays Capital, Inc.: Okay. And just to finish with that question just in terms of like where they're coming from. Are you seeing kind of an incremental visitor from different regions, or is it similar to what you're seeing like from Guangdong and kind of the general complexion of the regular Sands China customer?
Robert Goldstein - Las Vegas Sands Corp.: Well, for those, we have data on, it's coming from Guangdong, from the Mainland China. Guangdong, there's a lot of unrated business in that building, so it's hard to tell everybody since, again, unrated, we don't have the data we would have on people asleep in the hotel or people have ratings in the casino. Again, this is a brand new building that we're just gratified the run rate appears to be strong after the first, what, 17 to 18 days. We're very happy with it. We are more happy with just the awareness of the property. The sheer foot traffic in that building is – at the opening night, I went down to the casino floor, and it was overwhelming, but it stayed that way for that entire week. So, we're just gratified at the customer acceptance, and we – again, I think it's hard. We're going to get tougher and tougher on breaking numbers out, because this integrated behemoth strategy Sheldon referenced with a – basically a 13,000 hotel, we're going to get less and less able to differentiate because I think we're going to use our pricing power, multitude of hotel room capacity, our multitude of gaming capacity, our retail diversity, we're going to try real hard to price this thing according to the customer demand, move the customer demand around our portfolio, and run this thing to maximize cost efficiencies but provide a great customer experience based on your budget and your demand. So, it may just be that The Parisian is being wildly helpful to making that portfolio stronger. We're encouraged. Early returns are terrific. It's a base mass hotel at this point. It's not driven by premium mass, and it isn't driven by junket, although we have some good junket play in there.
Felicia Hendrix - Barclays Capital, Inc.: Thanks. And as my follow-up, can you just help also understand just – I know it's 18 days, and you said you had a lot of unrated play, but in terms of just the source of customers so far, like in terms of database, what little database there is so far, OTA/wholesale versus new marketing?
Robert Goldstein - Las Vegas Sands Corp.: What's strong on the hotel side, again, I think Sheldon referenced it, we had terrific demand outside of our usual database for Mainland China. The social media approach here was just terrific, and the people who work for us there, exemplary work. Our team should be applauded for what was an incredible launch. So, we're seeing a lot of new business. It's not database. It's fresh customers coming in from Mainland China who want to see the product. It's just people. I think Sheldon referenced, number two behind The Venetian is places you want to see. And let's be honest, that themed approach, that is the magic elixir, that people want to see that Parisian themed approach, the Eiffel Tower. That façade has great curbside appeal. It is driving all kinds of awareness. It's easy to understand it when you watch the videos, when you watch the social media stuff. It's just easy to understand. Just standing outside that building, no place ever had that many people outside talking selfies in the tower or the façade of the building. We're in new waters here with new customers that we like seeing. I'm not sure we're stealing share as much as creating new demand from China for the sleeping rooms. But the gaming, as I referenced, is still in its early days, but we got to decide how much we want to push into the premium business there because it's a mass powerhouse so far. But again, 17, 18 days, we're reporting this quarter, hardly enough time to understand the power of The Parisian. But we are thrilled with the acceptance of it. We're thrilled with the walk traffic. You've never seen walk traffic. I've been going to Macao since the 1980s. I've never seen people walking back and forth in droves between the Four Seasons and The Parisian. It's pretty staggering. And again, our team, our marketing folks in Macao did some great work on the social media side.
Felicia Hendrix - Barclays Capital, Inc.: Thanks. I'm sure you and Sheldon have plenty of your own selfies in front of that property.
Robert Goldstein - Las Vegas Sands Corp.: It's all I do all day, yeah. Pretty much. That's all I do.
Felicia Hendrix - Barclays Capital, Inc.: All right. Thanks a lot.
Robert Goldstein - Las Vegas Sands Corp.: Okay.
Operator: And we have time for one more question, and that question comes from Carlo Santarelli with Deutsche Bank.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Hey, guys. Thanks. A lot of my questions have been asked. But the one thing that we didn't talk about much in the call was kind of the VIP segment in Macao. And clearly, you see it in the DICJ numbers and we saw it in your numbers here today that – and there seems to have been obviously a change in that customer in the 3Q. Would you guys care to opine on maybe how you foresee the VIP segment going forward? Have we kind of hit a trough and maybe you're starting to see the light at the end of the tunnel or do you think there was more of a temporary kind of bounce?
Robert Goldstein - Las Vegas Sands Corp.: I can only speak, Carlo, for our portfolio, but I don't think it's temporary. I think this is not obviously our portfolio material to our composite EBITDA. It's rather unimportant at this point. I don't know how it recovers in any meaningful way. We are a mass-driven house, premium mass-driven house. It's become the point where we offer that opportunity for the customers who want it because it's part of our diversity, but I don't see how it gets much stronger with all that's happening in China and all that's happening both from a economy's perspective and a compliance AML perspective. I just think that's a market that – I said a couple of years ago and people were very upset. And I thought it's going to be very, very tough sleding, and it's a broken model and I think it remains broken as far as I can tell. I can't speak for our competitors, but from the LVS-SCL perspective, it's not a focal point. We won't turn it away, but we have to focus, we want to make our money. We make our money in table games, mass and premium mass, in slot machine, ETGs, we'll offer junkets and we'll wait for a better day, but we don't see that day coming in the next two quarters.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Thanks, Rob, and if I may, just one quick follow-up and an iteration of this was asked earlier. But when you think about your cash balances and your leverage position. How do you guys balance the thoughts of increasing dividends relative to buybacks, but in the context of the potential for a large scale development, be it in Japan or somewhere else at this stage?
Patrick Dumont - Las Vegas Sands Corp.: Hey, Carlo. It's Patrick. How are you?
Carlo Santarelli - Deutsche Bank Securities, Inc.: Good. You?
Patrick Dumont - Las Vegas Sands Corp.: So it's a discussion that we have quite frequently, and I think the way we think about it is if you look at the timing of cash flows acquired to fund The Parisian, it's actually a fairly long development cycle where cash comes out of the system probably over three to four years, and there's a lot of visibility going through the development of these projects. So given where we are in our divided growth cycle and hopefully the trajectory of growth that we're seeing in Macao, we'll have some ability to do some planning work and hopefully, what the chairman says holds true and we end up getting opportunities in either Japan or Korea or both. So the timing of this should work favorably in the future depending on the dividend growth rate we choose and the requirements for funding these developments if they were to occur in the future.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Okay. Thank you.
Patrick Dumont - Las Vegas Sands Corp.: It's something that we'll work through, but it's really a timing question.
Carlo Santarelli - Deutsche Bank Securities, Inc.: I appreciate it. Thank you.
Patrick Dumont - Las Vegas Sands Corp.: Thanks very much.
Operator: There are no further questions at this time, and this does conclude today's conference call. You may now disconnect. Thank you for your participation.